Operator: Welcome to the RLJ Lodging Trust's Second Quarter 2023 Earnings Call. As a reminder, all participants are in a listen-only mode and the conference is being recorded. [Operator Instructions]. I would now like to turn the call over to Nikhil Bhalla, RLJ's Senior Vice President, Finance and Treasurer. Please go ahead.
Nikhil Bhalla: Thank you, operator. Good morning, and welcome to RLJ Lodging Trust 2023 Second Quarter Earnings Call. On today's call, Leslie Hale, our President and Chief Executive Officer will discuss key highlights for the quarter. Sean Mahoney, our Executive Vice President and Chief Financial Officer will discuss the company's financial results. Tom Bardenett, our Chief Operating Officer, will be available for Q&A. Forward-looking statements made on this call are subject to numerous risks and uncertainties that may lead the company's actual results to differ materially from what had been communicated. Factors that may impact the results of the company can be found in the company's 10-Q and other reports filed with the SEC. The company undertakes no obligation to update forward-looking statements. Also, as we discuss certain non-GAAP measures, it may be helpful to review the reconciliations to GAAP located in our press release. Finally, please refer to the schedule of supplemental information which was posted to our website last night, which includes pro forma operating results for our current hotel portfolio. I will now turn the call over to Leslie.
Leslie Hale: Thanks, Nikhil. Good morning, and thank you for joining us today. Overall, we are pleased with our second quarter results, which were in line with our expectations. Our urban market concentration allowed our RevPAR growth to exceed the industry for the second straight quarter. With demand continuing to grow, we remain constructive on the overall health of lodging fundamentals, which continue to unfold with trends favorable for our portfolio. The industry is benefiting from the strengthened group and the continued recovery in business transient, which are disproportionately driving urban markets and enabling them to outperform. In addition to achieving year-over-year RevPAR growth above the industry, we delivered another quarter of solid execution on our key objectives, including ramping our three 2022 conversions, which are exceeding 2019 levels and are well ahead of our underwriting. Executing on our conversions in New Orleans and Houston, announcing a new conversion in Nashville, accretively repurchasing our shares and enhancing total shareholder return by increasing our quarterly dividend for the second time this year. Our second quarter performance demonstrates the advantages of our urban concentration and the embedded growth within our portfolio as well as the optionality that our strong balance sheet provides us to execute on multiple capital allocation opportunities simultaneously. With respect to our operating performance, our second quarter RevPAR increased by 4.5% over last year, exceeding the industry by 200 basis points. Year-over-year growth in demand and continued pricing power enabled us to drive a nearly 400 basis point increase in ADR. Our RevPAR was 96% of 2019 levels, representing a new high. We achieved these solid results despite the impact of the writer's strike and poor weather in California and Florida. Our growth continues to be led by our urban markets, which are being driven by strong group, rising international and healthy urban leisure demand. RevPAR in our urban markets grew 7.7% over last year and achieved 2019 levels for the first time, representing an improvement of over 300 basis points from the first quarter. We were pleased to see that our RevPAR growth over last year was balanced with occupancy increasing by 200 basis points and ADR increasing by 5%. Notably, our urban ADR exceeded 2019 levels by 10% or more in most of our key urban markets. The second quarter also benefited from our successful efforts to increase out of the room spending through revenue enhancement initiatives in areas such as parking and F&B outlets. These initiatives resulted in a robust 21% increase in our non-rooms revenue this quarter and led our total revenues to grow by 7% ahead of last year and achieved 2019 levels. In terms of segmentation, the positive momentum in business transient carried forward throughout the second quarter. Business transient demand continued to be led by SMEs and was bolstered by the ramp of a broad range of industries such as aerospace, automotive, insurance, health care and consultants. Our BT revenues achieved 71% of 2019 levels, which represented a 300-basis point improvement from the first quarter. We were encouraged to see May and June achieved over 90% of total corporate room nights booked in 2019. On a year-over-year basis, our business transient revenues increased by 12%, which was evenly split between occupancy and ADR growth. Further evidence of our positive momentum in business transient demand was the improvement in our weekday RevPAR, which increased by 6% over last year. Our Group segment benefited from increasing corporate demand for meetings and events, a robust volume of self-contained social group and strong citywide events such as Formula 1 in Miami and the Kentucky, Derby in Louisville, which allowed our Group performance to exceed our expectations for the quarter. Our Group revenues increased by 13% over last year, which was primarily driven by a 10% increase in ADR. Group revenues achieved 103% of 2019 levels, a 400-basis point improvement from the first quarter, with ADR exceeding 2019 by 13%. The forward momentum in our Group demand is evidenced by our current group pace for the third quarter, which is tracking at 103% of 2019 levels. Our Leisure segment was driven by the continued strength in urban leisure demand, which was partially offset by the expected moderation in our resorts that saw a normalization of demand. The strength in urban leisure enabled our Urban weekend RevPAR to increase by 4% over last year. This robust growth led our urban weakened RevPAR to achieve a 500 basis point sequential improvement relative to 2019 on the first quarter. Healthy leisure trends in our urban markets are being bolstered by the sustained leisure demand driven by both the hybrid work and flexibility and the return of concerts and entertainment events such as a Taylor Swift Tour, which benefited about a third of our markets during the quarter. These trends flowed to our bottom line, with our portfolio achieving EBITDA that was 3% higher than last year and 93% of 2019 levels, which represented a nearly 700 basis point improvement from the first quarter. Our profitability continues to benefit from our lean operating model, with fewer FTEs, allowing us to offset broader inflationary pressures on operating costs. We achieved EBITDA margins of 34.4%, which was only 130 basis points lower than last year as labor markets are normalizing. Moving to capital allocation, we continue to make progress on multiple initiatives that are associated with significant embedded growth opportunities within our portfolio. This quarter, we announced our third conversion for 2023 with our Nashville hotel joining Hilton's Tapestry Collection. The hotel's ideal location close to Broadway was already poised to benefit from significant redevelopment, and now, as part of the Tapestry Collection, the hotel will be able to fully unlock its potential by immediately leveraging Hilton's ecosystem. We will complete a comprehensive renovation next year to further position the hotel to capture increased market share as a lifestyle boutique hotel. Additionally, we advanced our two previously announced 2023 conversions in Houston and New Orleans. Their transformational renovations will be completed by year end and will position these hotels to capture incremental ADR in their respective locations. We are also benefiting from the ramp of our conversions in Charleston, Santa Monica and Mandalay Beach, which generated RevPAR growth that is nearly 50% over last year on average. In aggregate, the EBITDA at these hotels was 20% above 2019 in the second quarter. We continue to expect our conversions to generate robust double-digit returns, which will further advance our operating performance and NAV appreciation. Additionally, once again, we demonstrated the optionality that our strong balance sheet affords by pulling multiple capital allocation levers simultaneously. This quarter, we repurchased $25 million of shares at attractive levels on a leverage neutral basis. Our strong balance sheet, free cash flow profile also gave us the confidence to raise our quarterly dividend for the second time this year. Our third quarter dividend of $0.10 per share represents a 25% increase from the last quarter. As we look forward, while macroeconomic uncertainty remains, we are optimistic that the industry can continue to achieve positive RevPAR growth through the remainder of the year despite tougher comps. Relative to this backdrop, our portfolio is extremely well positioned given that urban leisure demand should remain strong driven by leisure trends in this new environment. Business transient should continue to see positive trends for the remainder of the year. Robust group trends should carry forward. Our confidence is bolstered by our strong citywide calendars for the second half of the year in many of our top markets. Additionally, we are seeing robust in the year, for the year booking activity with our group pace reaching 97% of 2019, a 200 basis point increase since the beginning of the quarter. Improving inbound international demand should have an outsized benefit to urban markets and the continuing ramp of our recently completed conversions should provide incremental tailwind. We believe that all of these trends should enable us to continue to outperform the industry as we demonstrated during the first half of this year. Longer term, we are bullish on the outlook for lodging fundamentals in light of the increased importance that consumers are placing on travel combined with a multiyear horizon from unit new supply. Given our ability to capture this new normal, these dynamics will be especially beneficial for our portfolio, which is uniquely positioned to drive outsized EBITDA growth, given our concentration in urban markets, which have additional run room for significant growth. Our high quality diversified portfolio that benefits from seven day a week demand and is aligned with a new live work play environment. The upside from our completed conversions and recent acquisitions, the execution of our incremental internal growth opportunities including the completion of our next free conversion and our pipeline of future opportunities and our strong balance sheet and free cash flow profile provides the optionality to drive incremental internal and external growth. We are encouraged with our strong relative positioning and multiple channels of growth. I will now turn the call over to Sean.
Sean Mahoney: Thanks, Leslie. To start, our comparable numbers include our 96 hotels owned throughout the second quarter. Our reported corporate adjusted EBITDA and FFO include operating results from all sold and acquired hotels during RLJ's ownership period. We were pleased to report strong second quarter operating results, which were consistent with our expectations. Second quarter RevPAR grew 4.5% above 2022, which was primarily the result of a 3.8% increase in ADR and a 0.6% increase in occupancy. Second quarter portfolio occupancy was 75.1%, which was 91% of 2019 levels. Average daily rate was $204, achieving 107% of 2019 and RevPAR was $153, which was 96% of 2019. Sequential improvement in our second quarter results were primarily driven by our urban market where RevPAR exceeded 2022 by 7.7% and exceeded 2019 levels in most of our urban markets, such as New York at 104%, Louisville at 118%, San Diego at 102%, Washington D.C. at 107%, Tampa at 135%, Indianapolis at 108% and Pittsburgh at 109%. Monthly RevPAR exceeded 2022 for each month of the quarter and grew 6.8% in April, 4% in May and 2.7% in June and achieved 97%, 96% and 96% of 2019 levels during April, May and June, respectively. Our second quarter operating trends led our portfolio to achieve hotel EBITDA of $122.8 million and hotel EBITDA margins of 34.4%. Our margins were only 132 basis points lower than the comparable quarter of 2022 and only 202 basis points lower than the second quarter of 2019. We were particularly pleased with our operating margin performance in light of the very difficult comp for the second quarter of 2022, where margins benefited from the combination of a rapid revenue recovery quarter in the same period with pandemic levels of hotel operating costs, which were still in the early phase of ramping. Turning to the bottom line, our second quarter adjusted EBITDA was $113.8 million and adjusted FFO per share was $0.56, both of which were within our guidance ranges. While demand remained strong during the second quarter, hotel operating costs continued to normalize underscoring the benefits of our portfolio construct and realization of our initiatives to redefine the operating cost model. Total second quarter hotel operating costs were only 2% above 2019 levels, which is meaningfully below the aggregate core CPI growth rate in 2019 of approximately 15%. There are many factors that influence these positive results, with the most significant contributor being in the successful restructuring of many of our third-party operating agreements and reductions in property taxes, both of which are expected to continue benefiting our operating costs. Second quarter wages and benefits, our most significant operating cost at approximately 40% of total cost were still slightly below 2019 levels. During the second quarter, our hotels continued operating with approximately 20% fewer FTEs than pre-COVID, demonstrating the flexibility of our labor model in the post-COVID environment. Our portfolio remains better positioned for the current labor environment due to the need for fewer FTEs. Given our lean operating model, smaller footprints, limited F&B operations, and longer length of stay. We remain active in managing our balance sheet to create additional flexibility and further lower our cost of capital, including extending $425 million of debt to 2024. As previously announced during the second quarter, we recast our $600 million corporate revolver and entered into a new $225 million term loan to refinance to 2024 maturing term loans. Our new corporate revolver has a term of four years to 2027 and includes extension options for an additional year. The new $225 million term loan has an initial term of three years and includes two years of extension options to 2028. The other key terms of the transaction included retaining pre-COVID pricing grid and covenant modifications to increase flexibility. The execution of these transactions is a testament to our strong lender relationship and favorable credit profile. So far in 2023, we have taken advantage of continuing interest rate volatility to proactively manage our interest rate risk by entering into $450 million of new interest rate swaps. Today, our balance sheet is well positioned with an undrawn corporate revolver. Our current weighted average maturity is approximately 3.5 years. 81 of our 96 hotels are unencumbered by debt. Our weighted average interest rate is an attractive 3.98%, and 93% of debt is either fixed or hedged.  Turning to liquidity, we ended the quarter with approximately $477 million of unrestricted cash, $600 million of availability on our corporate revolver, and $2.2 billion of debt. With respect to capital allocation, as Leslie said, we remain committed to returning capital to shareholders through a combination of both share repurchases and dividends. During the second quarter, our Board approved a new one year $250 million share repurchase program, which provides us with a tool to take advantage of capital market volatility. During the second quarter, we were active under our program and repurchased approximately 2.5 million shares for $25.5 million at an average price of $10.23 per share. In total, during 2023, we have repurchased approximately 5.3 million shares for $54.2 million at an average price of $10.22 per share, including $1.3 million repurchased so far during the third quarter. Turning to dividends, our Board recently authorized a 25% increase of our quarterly dividend to $0.10 per share starting with the third quarter, which represents the third dividend increase since last summer. Our dividend remains well covered and supported by our free cash flow. We will continue making prudent capital allocation decisions to position our portfolio to drive results during the entire lodging cycle, while monitoring the financing market to identify additional opportunities to improve the laddering of our maturities, reduce our weighted average cost of debt and increase our overall balance sheet flexibility. Turning to our outlook, based on our current view, we are providing third quarter guidance and anticipate a continuation of the current operating and macroeconomic environment. For the third quarter, we expect comparable RevPAR between $137 and $143, comparable hotel EBITDA between $94 million and $104 million, corporate adjusted EBITDA between $85 million and $95 million, and adjusted FFO per diluted share between $0.37 and $0.44. Our outlook assumes no additional acquisitions, dispositions, refinancings, or share repurchases. Please refer to the supplemental information, which includes comparable 2019 and 2022 quarterly and annual operating results for our 96 hotel portfolio. Finally, we continue to estimate RLJ capital expenditures will be in the range of $100 million to $120 million during 2023. Thank you, and this concludes our prepared remarks. We will now open the line for Q&A. operator?
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions]. One moment, please, while we pull for questions. Our first question comes from Michael Bellisario with Baird. Please proceed with your question.
Michael Bellisario: Thank you. Good morning, everyone.
Leslie Hale: Good morning, Mike.
Michael Bellisario: First question for you. Just on the transient side, can you maybe talk about the pickup that you saw materialize throughout the second quarter. And then also what you're seeing so far in 3Q, especially in the context of your guidance, assuming some slower year-over-year RevPAR growth in the third quarter? 
Leslie Hale: Yes, Mike, I think on the transient pickup side, as I sort of think about it on the BT. BT is overall continuing to improve, and we're seeing good momentum. We recognize that it's gradual, but it's been consistent. When we look at our midweek trends, our RevPAR was up 6% year-over-year. When we look at May and June, our room nights were at 90% of 2019 levels. And so we're seeing the momentum play itself out. I think, as we talked about in our prepared remarks, our BT revenues are up at 70% of 2019 levels at 300 basis points year-over-year. And overall revenues are -- I'm sorry, that was quarter-over-quarter. Year-over-year, our revenues are up 12% and split between room nights and rate. And so we're really encouraged by that pickup that we've seen in BT.  And as we look forward into the third quarter, there's no holidays or anything that give us concern that suggests that that trend can't continue. It continues to be broad-based, with SMEs continuing to lead, but we are seeing the national accounts continue to make production for us, and so we're encouraged by what we're seeing there. I would also say, on the transient side, when I think about leisure, it's really a tale of two cities. We recognize that leisure demand overall, the travel patterns are normalizing, and that's obviously affected resorts being down. But when we look at urban leisure, urban leisure remains strong. Our weekend RevPAR in urban was up 4%. As we as we talked about in our remarks, and it's about 115% 2019 levels, and that's about a 500 basis point improvement, quarter-over-quarter.  When we think about what's happening in the urban market, we see last year we saw Urban Weekend being really driven by social events. This year we're seeing the venues that are still ramping. So it's beyond just cons, but generally the commercial venues are producing for us, and that's attracting that live work play environment.  So I think from a transient perspective, we're seeing, as we drill down on the data points, both business and Urban Leisure continue to produce for us.
Michael Bellisario: Thanks for that. And then just one more for me. Maybe on the operating side, could you just remind us or help us understand sort of the flexibility that you guys have? Maybe what changes did you make during the second quarter? Or what changes can you make on the fly to adjust to different demand environments going forward? Thank you.
Leslie Hale: Yes, I would just frame for you. We obviously feel very good about our margins. Keep in mind that our FTEs last year were at about 75% of 2019 levels, and we're running at about 80% today. So that's obviously having an impact. But overall, our operating model, given a small footprint, given our length of stay, that some of the things that Sean talked about. It does allow us to sort of pivot our FTE model as we move through a quarter as trends sort of unfold. I'll let Tom give commentary.
Michael Bellisario: Yes, Mike. Good morning. I would say where we're finding synergies that we know are going to be sustainable is in the sales and marketing department, food and beverage, based on hours of operations and deliverables. We feel good about the staffing model that Leslie referred to on the FTE count that was occupancy rises, that will maintain around an 85% FTE, which helps us because, as you know, wages and labor is up compared to 2019 levels based on the market rates that we have to pay to be able to attract talent.  And then lastly, I would say we are finding that the opportunity, opportunity to hire our own employees is increasing. Applicant flow is good. We're feeling good about retention rates and seeing reduced turnover. So it's a healthier environment as we go into the summertime, because obviously we're busy. Occupancies are good and employees are getting hours. So on an overall basis, we feel good about the environment to the workforce?
Leslie Hale: And Mike what I would say is one of the things that allows us to pivot quickly is our split between hourly wage employees versus salary employees. And so when you have a higher percentage of hourly, you can pivot quickly. And I think that our model forces us to be able to do that.
Michael Bellisario: Helpful. Thank you.
Operator: Our next question comes from Dori Kesten with Wells Fargo. Please proceed with your question.
Dori Kesten: Thanks. Good morning. On your renovated and converted hotels, can you remind us what the rate spread was to the comp set prior to conversion and then where you are today and where you would expect those to stabilize?
Sean Mahoney: Yes, Dori, so when we talked about that pre-conversion, generally speaking, those hotels were running at roughly 90% of share against their comp sets relative to where our portfolio ran, which is 110% in dollar amount that was somewhere in the $20 to $30 of rate appreciation. What we've seen since relative to '19 is those hotels post conversion and post reopening are outperforming that and gaining share. And that share gain is both from a combination of incremental ADR which is primarily driving it. But we're also -- the outer room spend through the conversions has also been a big driver of our ability at those conversions.
Tom Bardenett: And the other thing I would add too Dori is, when we look at our comp sets we now have more what we would call aspirational comp sets where the market we knew the rate was different in the market for some of the competitors that we weren't able to compete with. And now that you're converting to a curio or an independent and the capital that we're putting in there allows us to change the environment of where we're actually launching and product is fantastic to be able to compete at a much higher level. So that kind of changes the way we think about where we're going. And the underwriting really kind of looked at the current comp set versus where we think we're going to end up.
Dori Kesten: And can you talk about your current acquisition pipeline and if you'd expect to be a net buyer or net seller this year?
Leslie Hale: Yes, I would say Dori not much has really changed since our last call. I think the transaction market in general continues to be constrained. Clearly the debt markets as well as rising interest rates are a key factor that many brokers are actually advising their clients not to take things to market in this environment. The solid fundamentals that we are experiencing or encouraging potential sellers just to hold. And so there's been really limited transactions on that side. Given that the backdrop will be opportunistic, but we don't need to be programmatic given our balance sheet strength and where our portfolio is positioned. And I'd say that we're just looking at the current climate. One thing I would say that has changed is we've started to have more conversations, but it's way too early to decide whether those conversations are going to translate into anything. What I do know, though, is that the reason why we're getting more calls is because we're an all cash buyer. And that when the market does open up, we're going to benefit from that. But I would say right now that the general transaction market, buyer or seller, is generally constrained. 
Dori Kesten: Okay. Thank you.
Operator: Our next question comes from Bill Crow with Raymond James. Please proceed with your question.
Bill Crow: Hey, good morning, Leslie and Sean. I want to go down a little bit of a different path, but let me follow-up to question and ask you whether the environment in New York City is not good enough at this point to start thinking about the NYC and the sale of the NYC?
Leslie Hale: I think it's an interesting question, Bill, but I think where we sit today in the capital markets, it really constrains the buying pool and so we would want to see that market improve. But in general, we think the way we positioned our portfolio today, the urban lifestyle that the NYC given its key count, its limited F&B fits well within our portfolio. Having said that, I think the general transaction market is still constrained for us to looking at selling an asset of that quality given its iconic location and where it sits in our portfolio today.
Bill Crow: All right, I wanted to go down this leisure path a little bit and I know it's already come up, but you do sound more optimistic than your peers on leisure. And at the same time, you said you're seeing some normalization, so trying to figure out exactly what it is that you're seeing that might be different than other people. I'm wondering whether it's the value proposition that your portfolio may offer or geographic footprint. Maybe it was the Taylor Swift benefits, I don't know if you can quantify for the second quarter how much that helped you, but what are you seeing? Any changes in the consumer, whether it's trading up, trade down longer, shorter stays, changes to your booking window that you can see? I think we're all trying to get a read on the consumer and demand here domestically.
Leslie Hale: Yes, Bill, thanks for that question. I really think it's sort of a couple of things. I think first and foremost, as I mentioned before, your urban venues are still ramping. You got to think about it for a second. Many of the concerts and themes that we're seeing right now, they didn't happen for two years. And so that's kind of rolling out. And we're seeing the benefit of that. Our hotels are typically located near these venues and are great pivots for that leisure that we've been talking about. We really see that given the work from anywhere environment, that our Thursdays are turning into check-in nights, and that the types of hotels that we have are able to pivot into a weekend experience off of a business play. And so we think that we're benefiting from that in the urban market, and we think that that's a trend that's here to stay. We think the types of assets that we own are able to capture that. And I think it's playing out within our portfolio. And that's why we sort of call out urban leisure in terms of how it's performing. And I think that there's still room to grow on that. We saw our RevPAR increased by 4%. Our rate was the primary driver of that increasing by 4%, but we just haven't seen any softness on the weakness side.
Sean Mahoney: And I would add to Leslie's comments, Bill, in regards to the booking window, because I know you asked about. When we think about the booking window, you look at a couple different categories of segmentation. One, when you think about transient, it's still a short-term booking window. So when the consumer has optionality and has choice, they can take longer. Fr instance, if you think about zero to seven nights prior to arrival, it's now at 58% versus 51% back in 2019. So they're taking their time because they still have that last minute let's go attitude. And the other thing I would say is on the Group side, when we think about in the booking window, it's still short-term, but it's starting to elongate a little bit where we're starting to see booking pace, getting more on the books, further out. But we're encouraged that the short-term bookings and the small groups are still booking short term, which gives us pricing power. Even when we look at our crossover goals for 2024 at some of our larger full service hotels, we're way ahead in '24 versus '23. And that's what I was talking about, the booking window and the consumer now putting a little bit more credence into booking something further out and landing on a date. And then when you think about our portfolio and the value, it really is because we have 50% suites too, Bill. When you think about how we differentiate ourselves and that is very attractive in regards to a value buy when it comes to the consumer. You almost have two different hotels at a Suite Hotel during the week and weekend you really have a much more family relationship and sports teams and you see that on the weekends where a weekday you can act as a business transient hotel. So that seven-day harder demand location that Leslie talked about is critical for our portfolio to differentiate ourselves.
Bill Crow: Thanks for the color, appreciate it.
Operator: Our next question comes from Anthony Powell with Barclays. Please proceed with your question.
Anthony Powell: Hi. Good morning. Maybe one more leisure question. Looking at markets like Key West and Miami, it seems like you took down ADR but maintained occupancy. And I'm seeing some other reports where there was the opposite, where they tried to maintain rate but saw a big drop in occupancy. So I'm curious, what do you think the better strategy is? Are you finding actually some price sensitivity in the leisure customer here?
Sean Mahoney: Yes, so if you're referring to Anthony quarter two in Key West, we always have kind of drafted off of the location that is a little bit more desirable. When you go to the back area of Key West and the Southernmost point, we've always had great value purchases. And when the resorts were really moving further ahead, we were able to draft off of that. On the way back down, we were able to kind of maintain our occupancy because we're a value buy and then not lose as much rate when you look at Key West because we have a DoubleTree suites as well as a Fairfield Inn that kind of goes left and right when you go two mile by four mile onto the Keyes before you go to the Southernmost point on the water. So that was one strategy we took there. And we take quite a bit of government business because there's still a significant amount of volume of that and per diem went up. So it was a good strategy to stay in that direction. And the second market you mentioned, I didn't hear your question that you mentioned.
Anthony Powell: Miami.
Sean Mahoney: Miami, yes. So, Miami, we were under a little bit of a renovation. We obviously had a significant first quarter result, but then we went under the knife at one of our hotels. We'll be back in the shoulder months of fourth quarter and feel good about that. And that's primarily our hotel that's on the beach down there, Cabana, our Hilton down there. So we'll see a better result in the fourth quarter based on we had some rooms out in second quarter. Go ahead.
Leslie Hale: What I was going to say, Anthony. This is sort of booking onto Tom's comments is that our resort markets are sort of true leisure markets. We saw a lift, but we didn't rise as high. And so the price point is still very attractive. Our resorts were down 4%. And compare that to many of our peers who are down much more substantial than that. It's a function of we had a more sustainable increase on a relative basis to many of our peers. I'll let Sean hop in.
Sean Mahoney: Yes, I echo that, Leslie, I think when you look at how our resorts have performed, demand is right on top of last year and right on top of 2019. So when you juxtaposition how our resorts are performing relative to some of the others, our ADR has been outperforming it because we have not seen the rate degradation that others have seen through that high end rate business leaving for other jurisdictions.  International, outbound international being one of the big drivers in the current quarter, whereas that was not sort of our bread and butter over the last couple of years and likely isn't going to be our bread and butter on a go forward basis. So I think our resorts present a more stable resort value proposition than maybe sort of some of the highs and lows that you're seeing elsewhere.
Leslie Hale: And Anthony, this kind of goes to combining your question with bills. This really kind of goes to what we've been speaking to in terms of our portfolio being built to capture the new normal. We're positioned in the seven day a week demand markets to be able to capture what's happening in the urban markets and then of type of leisure and resorts that we have can capture where we think rates sort of settle out at overall. So we really think that our portfolio is built to capture the new normal as we go forward.
Anthony Powell: Thanks. And maybe one on, I guess, Silicon Valley in San Francisco. Yes, one of the other peers took down their expectations for that market for the balance of the year. What are you seeing in those markets?
Sean Mahoney: Yes, so what's interesting about San Francisco, the back half, as we stated earlier in the year, was set up better from a CBD standpoint based on Moscone and Citywide towards the end of the year versus 2022. So we're encouraged by what's happening in that market because CBD starts to compress and spread out. When you talk about Silicon Valley, it had a little bit of a unique situation because it had so much project business last year and that's probably why others might have adjusted their forecast. But I would say to you that we are in the middle, we just talked about Taylor Swift. We're in the middle of just had a concert this past weekend at Santa Clara, Silicon Valley. We're starting to see offices come back. The occupancy rates are improving in regards to the counts that are coming back. So we're starting to see a little bit more BT. So we're feeling better about the back half than we are the first half, as we have a tougher comp, obviously versus '19 and 2022.
Leslie Hale: And Anthony, what I would just sort of bolt-on is that obviously we have a diversified footprint in Northern California and the non-CBD is generally outpacing the CBD. I think in this particular case, what you saw is just as Tom mentioned, there were some year-over-year comp issues relative to project business. I think that's in a nutshell.
Anthony Powell: I guess on the CBD, I guess there was some commentary that the back half was going to be worse than expected, but it sounds like you're not seeing that. And that comment from the other peer may have been of a property specific issue versus kind of a market issue? Is that fair?
Sean Mahoney: Yes, Anthony, the Citywide are up meaningfully year-over-year and much closer to '19 both in the third and the fourth quarter, I think when you look at the types of hotels that we have in the CBD, one is a 400 room Marriott, the other is 166 room Courtyard. We're not as reliant on the big Citywide as other larger hotels maybe, that have specific issues that they're dealing with. And so I think our footprint, our size, and sort of who our core customer gives us more confidence around the back half of the year maybe, than you're hearing from others.
Anthony Powell: All right, thank you.
Operator: Our next question comes from Gregory Miller with Truist. Please proceed with your question.
Gregory Miller: Hi, thanks. Good morning. My first question is about service standards and guest satisfaction scores. Now that staffing is more fully in place, I'm curious how guest satisfaction scores have manifested between select service hotels and your full-service hotels in recent months. Is one type of hotel scoring better from a service experience in light of all the operating changes that have been implemented in hotel industry since 2020?
Sean Mahoney: Good morning, Greg. And it's a great question because we're seeing and it's really important to be able to have customers want to come back after you work so hard to get them in the door. And because of the ability to have more certain hours, consistency of deliverable, it has made a difference in regards to what's happening on the ground. When we think about employee satisfaction, we think about that first, and then we know that we can drive guest satisfaction. So we've spent a lot of time giving people tools and resources and making sure they have certainty in their hours, and that allows them to have good morale and build the type of environment we want at the asset. And what we're seeing is the scores are going up both on select service and full-service because hours of operations are more consistent where customers are coming in and have those expectations and they're getting what they're looking for. The same thing on the housekeeping and cleaning. I think we've come to a point where we're still doing a tidy clean, if you will, where we're going into the room and having that. And I think Marriott and Hilton have all moved towards that in regards to more regular service, but the take rate is still at a smaller percentage. But that's all contributing to what I would suggest the increase in guest service scores both on full service and select.
Gregory Miller: Thanks. I appreciate the time.
Sean Mahoney: For my follow-up.
Gregory Miller: Apologies if I missed this in the prepared remarks. I wanted to ask about Florida from a different context. You have several Florida hotels. A few of them are close to convention centers, and there have been news reports of groups canceling events in the state due to Florida state government legislation and actions. I'm curious if you've seen any material negative impact to group demand or future bookings?
Sean Mahoney: Yes, so when we think about our footprint, we have one on IDrive, Greg in Orlando, and we have an Embassy Suites. It really doesn't participate in too many blocks because of its location compared to the convention center. But to your comment, we haven't seen anything happen the Orlando area at this point in time that would make us think that there's not going to be the compression because the Citywide has got a pretty nice calendar this year. When you go further South, you're looking at Miami as well as Fort Lauderdale. Lauderdale is in the phase of expanding their convention center. We're actually pretty encouraged with what's going on down there with cruises coming back and events that are going to be booking in future years. So just the opposite. We have not seen anything that's been a negative storyline. And Miami really doesn't produce conventions that cause compression. We have a hotel at the beach. And one at the airport and our occupancy has been pretty good in those locations. So I haven't really seen what you're looking for in regards to the commentary around legislation and cancellation?
Leslie Hale: Yes, and the other thing I would just add in, if you look at our overall group pace for the year and what we're seeing across our portfolio, we're not seeing any of degradation there. What I would tell you, Greg, is that our group is on fire. We were 103% of 2019 levels of revenues for the second quarter. We're on pace for the third quarter at 103%. Our full-year is at 97% are in the year for the year. We're only seven months into the year. We've already booked 80% of all what we booked in the year for the year last year are in the quarter. For the quarter pickup is 20% where we expect that pace to continue.  And a lot of this is being driven by the small group, which is right in our sweet spot. And what we're seeing is that corporate group represents about 50% of our small group. In addition, we have a lot of self-contained group which is not being impacted, which is what Tom is referring to, not being impacted by that citywide.  Any events that's sort of happening along those lines. It benefits when citywide is there, but it's not being impacted. So our group trends overall just have been extraordinarily strong.
Tom Bardenett: Yes. And then our largest group hotel is Tampa, Greg in Florida. And for the third and fourth quarter, we're projected to be roughly 30% above 19 in both of those quarters. And they are our strongest quarters of the year. So our Tampa hotel, as that which is our largest group hotel and the one most proximate to the convention center, is one of our strongest performing assets so.
Gregory Miller: Great. That's all very encouraging news and appreciate the detail. Thanks.
Operator: Our next question comes from Chris Woronka with Deutsche Bank. Please proceed with your question.
Chris Woronka: Hey, good morning everyone. Was hoping to go back to the Silicon Valley question I think Anthony brought up. I know it's six hotels, it's primarily select service, but that was a 66% occupancy in Q2, I mean pretty big step down, some of the lowest occupancy in the portfolio. You guys sound pretty positive on that market. I think others have a different view. I don't think you give us the EBITDA splits, but I mean, can you tell us, are those hotels still profitable at where they ran in the second quarter? And do you give any thought to lightning up in that market if things don't improve the way you think?
Leslie Hale: Yes, what I would say overall, I think that we're balanced and optimistic overall on that. Northern California, where it sits from a standpoint of it being a strong economic base, where it sits within the tech as being tech capital. What's happening from a venture capital perspective and capital flows and what's happening. AI long-term, we are optimistic, but we are very sober that Northern California is lagging in the near-term? Having said that, we believe that the non-CBD will perform better than the CBD. And I think that's what you're hearing. But I want to make sure that you understand we are balanced about how it's performing. And again, just think that you have to be patient in terms of what's happening in that particular market. I think by and large know what we've seen on a year-over-year basis is that we had significant project business and that had an impact on a year-over-year basis. And we are generating positive EBITDA on our Northern California portfolio.
Chris Woronka: And specific. I think when you look at the second quarter in Silicon Valley, which is what was a difficult comp for us because of the project business that Tom talked about. When you look at year-to-date numbers, it's still down, but it's only down 6% versus 16%. So I think you're looking at one of the more challenging quarters because of the comps, because of that project business?
Tom Bardenett: And when you get into the fourth quarter, Chris, you do have the football games in Santa Clara. We were just awarded the Super Bowl in 2026. So I think people are still thinking about this market as a lagging market, but it has got some potential as offices continue to come back and campus has spent a lot of money on employee retention and we're starting to see a return to that when we think about office vacancies and where people are starting to come back to work. 
Chris Woronka: Okay, fair enough. I appreciate all the color. Follow-up question is, you guys have done a lot of conversions of brandings. You're pretty good at it, a lot of experience. When I look at the portfolio today, you still have certainly a handful, probably closer to a dozen of hotels that I would say are affiliated with good brand companies, but maybe in some of their lesser brands, and some of those are in pretty nice urban or resort markets. Are there things on your radar? Obviously you announced Nashville, but are there other things kind of beyond the Wyndhams as we look out a little further, where you want to go up brand or soft brand from one of the major but smaller brands? 
Tom Bardenett: Yes, Chris, that's a great question, I think a big component of our longer range story. What we've articulated is roughly 20% of our portfolio has optionality over the next call it three to five years because of franchise agreements that expire or some other lever that we can pull.  I think the way we. The way we think about conversions and the way we've executed on the ones we've done to date are making sure that we put the right brand on the right asset that's going to maximize value on a risk adjusted basis. And I think the conversions we've done to date and the ones we've announced this year are examples of that. But in the future, what we've announced publicly, and we stand by it, is that we have a couple of conversions per year for the next several years. Some of those fit the bill that you're discussing, which is in a brand family today, but probably have the opportunity either to go further up within the brand family or even switch or go independent, right. Based on what's the right thing for that particular asset. But the two per year, we think is the right cadence for us to roll that out. And the two per year is also influenced by how the levers present themselves. What I mean by that is when franchise agreements expire or what options are, et cetera. But to your point, we think it's a big part of our long-term value creation. And we appreciate the complement around our ability that the fact that what we've done has worked, and that should be part of our platform value.
Chris Woronka: Okay. Very helpful. Thanks.
Operator: Our next question comes from Tyler Batory with Oppenheimer & Company. Please proceed with your question.
Tyler Batory: Thank you. Good morning. A couple questions for me. First, on the capital allocation side of things. Look, I think as a management team, you guys have a really good track record. You've been very balanced pulling on a lot of levers, you've been pretty consistent in terms of your commentary and execution as well. Have you thought more or thought at all about perhaps changing that? I mean, maybe leaning into different areas? It's nice to see the repurchase, but not sure if you're still thinking about that on a leverage neutral basis, or perhaps you may using the balance sheet capacity and the liquidity you have to maybe lean in a little bit more into one of these areas, or is the preference just to kind of remain balanced and kind of execute on multiple different fronts? 
Leslie Hale: Yes. Tyler, first of all, thanks for your comments. I would generally say that our actions demonstrate that we're going to continue to be thoughtful and we continue to make sure that we're executing within the right windows. And as you articulated, our balance sheet provides us the optionality to do more than one at the same time. And so I think with our buybacks, we'll continue to use leverage neutral as a guidepost. It's not a hard line, but it is a guidepost, and I think it's served us well.  We've been thoughtful if you looked at where we fought at and we've continued to buy programmatically as opposed to one point in time, and it's afford us the opportunity to not only execute on that end, but we've obviously continued to invest internally with our announcement of our Nashville transition and increase our dividend as well. We recognize today that buybacks continue to be the most attractive, but we also want to be thoughtful and balanced as we kind of look forward at fundamentals as well as the economic backdrop, and I think that discipline has served as well.
Tyler Batory: Okay. And then just follow-up on this leisure topic of discussion. What's in the guide for resort markets in Q3? I mean are you expecting that ADR to accelerate further or perhaps be a little bit more stable with Q2? And then can you remind us your mix high level, what percentage of your transient is leisure versus corporate?
Tom Bardenett: Yes, Tyler, to start, our resort mix is roughly 14% or 15% of our portfolio. And for the third quarter, we would expect our resorts as a subset to actually do a little better than the second quarter, because of the ramp associated with a couple of our resorts in Mandalay as well as Santa Monica, where we will -- they are comping off periods. The heaviest renovation activity for both of those assets occurred in the back half of last year. And the ramp is we're in the first year of the ramp. And so we expect the momentum to continue for both of those assets, and they are meaningful drivers of our resort. So I think on a net-net basis, we think the macro trends that impacting resorts, we expect to be in line quarter-over-quarter for the industry, but we believe that our conversions will allow us to outperform on the resort side.
Tyler Batory: Okay, when you look at the transient, your entire portfolio of transient, I mean what percentage would you guess is leisure versus corporate?
Leslie Hale: Yes, I mean historically, we were 80% transient, 20% group. And historically, that split was 55% BT and 45% leisure. We probably think that that is about 50:50 today, because of leisure and kind of what's being booked. And your bar, it's hard to sort of separate, but that's our thought, Tyler, in terms of 50:50 right now.
Tyler Batory: Okay. Great.
Tom Bardenett: And the breakdown on the mix, you think about it, we're back on the group mix side. As we just talked earlier. I think the encourage thing is bar is remaining at the highest level of our mix. When we think about pricing power and what's happening, that's important. As we think about how people book, retail has been kind of the winner. And when we look at 2023.
Leslie Hale: Yes, and I think also when we look about Thursday nights becoming check in nights, that's also affecting that mix of 50:50 right now.
Tyler Batory: Okay, great. All right, that's all for me. I appreciate the detail. Thank you.
Operator: Our next question comes from Floris Van Dijkum with Compass Point. Please proceed with your question.
Floris Van Dijkum: I must say that the questions have been pretty thorough, so I'm just curious to see what -- maybe, Leslie, if you can give a little bit of overview and what you think are the biggest risks right now that you're facing to your outlook for the rest of this year?
Leslie Hale: Floris, clearly, the sort of overhang of recession has been pushed out, but if that is wrong and the economic backdrop erodes in some way, that's going to affect all segments across. But I would say today the holiday picture looks good for BT, and nothing standing in that way. But if BT doesn't continue to ramp, I mean, that would be an obvious risk. Leisure, we feel good about what's happening in urban leisure's, but if that were to soften, that would have implications as well. International has been emerging, but if it doesn't continue to emerge that would be something to look at too in particular markets like New York and South Florida. So I think it's really the economic backdrop and the implication it has on for demand to continue to ramp. There's no particular event risk that we're looking at today. I think overall, we recognize that leisure demand is normalizing, but overall, fundamentals feel stable. And the trends that we see today, there's nothing that we're seeing that should stop us from continuing to see those trends move forward.
Floris Van Dijkum: Thanks, Leslie. That's it.
Operator: There are no further questions at this time. I would now like to turn the floor back over to Leslie Hale for closing comments.
Leslie Hale: Thank you for joining us today. We're pleased with our performance and our portfolio is well positioned for ongoing solid execution. We hope that everybody enjoys their summer. And travels and contributes to the travel industry. And we look forward to keeping you guys apprised on our progress. And we'll see many of you in the conferences in September. Have a good summer, everybody.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.